Operator: Ladies and gentlemen, thank you for standing by for CIGNA’s fourth quarter 2009 results review. At this time, all callers are in a listen-only mode. We’ll conduct the question-and-answer session later during the conference and review procedures on how to enter the queue to ask questions at that time. (Operator Instructions) As a reminder ladies and gentlemen, this conference, including Q&A session, is being recorded. We’ll begin by turning the conference over to Mr. Ted Detrick. Mr. Detrick, please go ahead, sir.
Ted Detrick: Good morning, everyone, and thank you for joining today’s call. I’m Ted Detrick, Vice President of Investor Relations. And with me this morning are David Cordani, our President and Chief Executive Officer; and, Annmarie Hagan, CIGNA’s Chief Financial Officer. In our remarks today, David will begin by discussing the highlights of CIGNA’s 2009 results. He will also provide his perspective on the marketplace as we head into 2010. He will also comment briefly on healthcare reforms. Then Annmarie will provide a detailed review of the financial results for the year and discuss the 2010 financial outlook. She will also provide an update on our achievements and expectations related to our expense reductions and capital management goals. And lastly, she will share some early indications on how our January 1st business is developing. David will then conclude with a discussion of CIGNA’s growth strategy before we open the lines for your questions. As noted in our earnings release this morning, CIGNA uses certain non-GAAP financial measures when describing its financial results. A reconciliation of these measures to the most directly comparable GAAP measure is contained in today’s earnings release, which was filed this morning on Form 8-K with the Securities and Exchange Commission, and is posted in the Investor Relations section of cigna.com. In our remarks today, we will be making some forward-looking comments. We would remind you that there are risk factors that could cause actual results to differ materially from our current expectations. And those risk factors are discussed in today’s earnings release. Now before turning the call over to David, I will cover a few items pertaining to our fourth quarter results. Regarding our results, I would note that in the quarter, we recorded an after tax charge of $13 million related to CIGNA’s previously announced cost reduction plan, which we reported to the special item. I would remind you that special items are excluded from adjusted income from operations in today’s discussion of both our 2009 results and our 2010 outlook. Relative to our runoff reinsurance operations, our fourth quarter shareholders net income included after tax income of $60 million or $0.22 per share related to the guaranteed minimum income benefits business, otherwise known as GMIB. I would remind you that the impact of FASB’s fair value disclosure and measurement guidance on our GMIB results is for GAAP accounting purposes only. We continue to believe that the application of this guidance does not represent management’s expectations of the ultimate liability payout. And because of the application of this accounting guidance, CIGNA’s future results for the GMIB business will be volatile as any future change and the exit value of GMIB’s assets and liabilities will be recorded in shareholders net income. CIGNA’s 2010 earnings outlook, which we will discuss in a few moments, excludes the results for the GMIB business, and therefore, any potential volatility related to the perspective applications of this accounting guidance. And with that, I will turn it over to David.
Dave Cordani: Thanks, Ted, and good morning, everyone. Before Annmarie reviews our result and outlook, I'm going to give you a brief update and overview of 2009, and why, despite economic turbulence, we’ve delivered very good results. I’ll cover market highlights, our point of focus and why we’re winning in the market, and I’ll share some brief comments on healthcare reform. And later in my closing comments, I’ll discuss highlights of our strategy and related actions. Let’s get started with the results from last year. As we reflect in 2009, it is clear that the global economic decline, the competitive environment as well as the uncertain political landscape combined to make it a very challenging year for our company and the industry overall. With that as a backdrop, we believe our 2009 results represented good outcome both in absolute terms as well as from a competitive perspective. For full year 2009, we delivered earnings per share of $3.98, an adjusted income from operations of approximately $1.1 billion, which represents year-over-year earnings growth of 16%. This result reflects solid earnings in each of our ongoing businesses, our healthcare, (inaudible) life, and international operations. In addition, our runoff reinsurance results improved significantly due to stabilization of the capital markets. In 2009, we delivered on our capital management goals by restoring our subsidiary capital to targeted levels, significantly building our parent company cash, and as expected, making a meaningful contribution to our pension plans. Relative to operating expenses, we made good progress in 2009 by driving $100 million in reductions in our healthcare operating expenses. Remember, as I said before, reducing expenses is an integral part of our growth strategy, not a one-time initiative. To underscore this, looking to 2010 and beyond, we’ve already identified actions to further drive operating efficiencies. So how are we able to post solid financial and operating results in 2009? Well, by executing on the fundamentals and delivering attractive value for our customers. Our results reflect a clear focus on improving the health, well-being, and sense of security of our customers, which has a positive impact on productivity and performance, while lowering costs for all involved. We are winning in a marketplace through consistent and effective service delivery, differentiated clinical and productivity programs, and consultative selling. I'll now provide some additional color on our service model, a model that continues to be a competitive strength for us. In 2009, we became the first and only major health service company in the US that is open 24/7 for the convenience of our customers and physician partners. Recently, our healthcare operation was recognized for customer satisfaction excellence for the fourth consecutive year by JD Power and Associates, a unique distinction in our industry. Now in China, CIGNA was named for the second consecutive year as the best foreign life insurance company. In addition, we are in the distinction as one of the 10 most trusted life insurance companies in China as well. This recognition reinforces the strength of our current global position. In addition to our administrative services, we serve our clients and customers by providing market leading clinical quality. For our self-insurance clients, we continue to deliver leading clinical programs while effectively managing the medical costs. We believe sustainable cost savings are only achievable through health improvement and reducing the risk factors that drive injury, illness, and disease. At CIGNA, we have a broad portfolio of capabilities to achieve health improvement, including risk identification, lifestyle and wellness programs, incentives, coaching, and engagement services. By integrating our health and productivity solutions we help our customers live better and healthier lives. And we have the proof points to support our value propositions. One example is our Fourth Annual Choice Fund Study covering over 650,000 CIGNA customers. This study demonstrates that medical costs for individuals and account-based consumer direct health plans were 26% lower than traditional programs over a four-year period while the levels in engagement and healthcare improved. Specifically, these individuals experienced preventive medicine, chronic disease management, and evidence-based treatments that were better than the counterparts in traditional health plans. These powerful results demonstrate that when we designed the right programs, provide incentives, and support for people to engage, healthcare quality goes up and costs go down. In our disability operations, the effective use of information coupled with a broad and diverse clinical team has driven another long strong year of results for our customers. Our disability management model continues to demonstrate competitively strong value for our clients by helping their employees get back to work sooner than the competition. Turning to 2010, I'll now shift gears to discuss our view of the market landscape and customer needs. To be clear, we expect the economic environment to remain challenging in the US. Against that backdrop, we are seeing customers and clients looking more aggressively than ever at opportunities to improve health and drive better employee productivity, all to improve costs. Relative to the pricing environment, we expect it to remain competitive. And in this environment, our approach is to continue to maintain pricing and underwriting discipline. In the market, our healthcare message inclusions are resonating very well with clients and prospects for the 2010 sales cycle. Our programs, products, and services are value-based, effectively leveraging incentives and engagement of individuals to improve their health, productivity, and performance. Our approach is to listen to our customers, take that opportunity to understand them, and then use that understanding to drive active participation with our customers and their physicians to effectively manage their health. As I noted earlier, we have proven that this approach leads to lower health risk, improved health, and as a result, lower cost and higher productivity. This message is resonating well with our middle market segment and with value buyers in the national segment. For our select segment, which is very price sensitive, we are seeing good demand for product portfolio, which includes leaner benefit offerings as well as our unique ASO offerings. In group insurance, we continue to see strong demand for disability management solutions. Why, because of our focus on improving productivity for our clients, which is enabled by our industry-leading return-to-work rates. The three key components of our best-in-class disability management model are our effective early claim notification and engagement, our broad clinical and return-to-work resources, and our ability to provide specialized case management services, all focused on helping our individual customers recover and return to work, a clear benefit to the individual as well as to our employer clients. Outside US, we are seeing the economic begin to improve in key Asian countries where we operate. The growing middle class in these countries is looking for income production replacement products that will provide coverage for gaps in the national health and savings plans. Our products are designed to effectively fill these gaps and provide a sense of security for our customers. We see attractive retention rates and strong sales for early 2010. Now relative to US healthcare reform, we continue to be active in the debate engaging with congressional leaders in fact-based sustainable reform positions. We remain steadfast in our belief that we need to address three fundamental issues, specifically, access, quality, and costs to improve our healthcare system and a sustainable way. We believe that every American should have access to affordable healthcare, for continued development of health advocacy programs as well as cost management and wellness initiatives. While the ultimate outcome of US healthcare reform is uncertain, we believe the market landscape and customers needs that I just discussed will continue to create attractive opportunities for CIGNA. We believe our broad portfolio of service-related programs, focus on health and productivity, and our focused growth strategy matched up very well with the current and emerging market needs. So for 2010, we continue to expect competitively attractive earnings growth from our ongoing businesses. Our team is excited about our 2010 outlook and is fully committed to delivering superior value for our customers, and as result, strong returns for you our shareholders. And I am confident that we’ll be able to achieve our full year 2010 financial and operating goals. I’ll now turn the call over to Annmarie.
Annmarie Hagan: Thanks, David. Good morning, everyone. In my remarks today, I will review CIGNA’s 2009 results. I will also discuss our outlook for full year 2010, including some early insights into our January one membership. In my review of consolidated and segment results, I will comment on adjusted income from operations. This is, shareholders income from continuing operations, excluding realized investment results, CMIB results, and special items. This is outside the basis on which I will provide our earnings outlook. Our full year consolidated earnings were $1.1 billion or $3.98 per share, compared to $946 million or $3.39 per share in 20008. Full year consolidated results increased 16% versus 2008, primarily due to improved results in our runoff reinsurance businesses. Full year earnings for our three ongoing businesses were modestly above 2008 and represent a solid result in the challenging economic, political, and competitive environment. I will now review each and of the segment results beginning with healthcare. Full year 2009 healthcare earnings were $729 million. This result primarily reflects favorable operating expenses and continued solid contributions from our specialty businesses, partially offset by a higher reported guarantee cost loss ratio and medical membership declines primarily related to dis-enrollment. For full year 2009, healthcare membership declined 5.5% versus year-end 2008. This result was primarily due to lower enrollment from existing customers and lower covered lives on new business sales both resulting from elevated unemployment level. Our full year guaranteed cost medical care ratio or our MLR was 85.5% excluding our voluntary business. This result was in line with our expectations as of the third quarter. On a fully developed basis, the 2009 MLR represents a flat year-over-year result reflecting rate increases offset by higher flu-related claims, including H1N1. For the full year, the impact of flu-related claims, including H1N1, contributed approximately 50 basis points to the MLR or $11 million after tax. This result was modestly better than expected. Including our voluntary business, our full year MLR was 83.9%. This is the basis on which we will discuss our MLR results beginning with our 2010 reporting. Overall, the full year experience aided earnings increases 7% versus of 2008, and we’re modestly better than our expectations. ASO earnings were higher year-over-year given by stable operating expense and sustained contribution from our specially businesses including strong results from our overall stop loss book of business. Specific to the former Great-West stop loss book of the business, we achieved our total medical cost improvement initiative as planned for 2009. For our total book of business, we completed the year with a medical cost trend of 8%, which was in line with our expectations. Now I'll discuss the results of our other segment. Full year of 2009 earnings in our good disability and life segments were $279 million in modest year-over-year increase. This result reflects favorable accident and disability claims experience, long with continued delivery of competitively attractive margins, driven by the value we provide to our customers through our disability management program. In our international segment, full year of 2009 earnings were $182 million. While lower than 2008, this reflects a solid result in challenging economic times. Specifically, 2009 earnings reflect unstable book claim experience, primarily within the (inaudible) benefits business, lower than expected news sales, and foreign exchange losses. This segment continues to deliver competitively strong margins. And we are pleased with the long term growth prospect for this business. Overall, the diversification of earnings from our healthcare group and international businesses continue to be a key to our "Go forward" global growth strategy. Earnings for our remaining operations including runoff reinsurance, other operations and corporate, showed a total loss of $93 million for the year, compared to a loss of $232 million in 2008. This reflects a significant improvement in our value business due to more favorable market conditions. This was driven by the favorable effects of a more stable equity market and an improved interest rate environment. I would note that no (inaudible) reserve strengthening was required since the first quarter of 2009. Overall, we had solid results in 2009 on a competitive and in absolute basis, which provide us with a strong jump off for 2010. Now turning to our investment portfolio, our portfolio continues to perform well in 2009 with full year net realized losses of $26 million after tax. We view this as a strong result given the environment. This full year result includes a fourth quarter impairment charge of $10 million after tax related to four loans in our commercial mortgage loan portfolio. We ended 2009 with problem loans of $158 million or 4% of the total loan portfolio. Potential problem loans totaled $239 million at year end or less that 7% of our total loan portfolio, although these ones continue to meet the contractual tax loan obligations. For the Federal loan portfolio, the loan-to-value ratio was 77% at December 31st, which was consistent with the previous quarter. While we recognize continued exposure in the real estate market, we believe our portfolio of 180 individually underwritten loans is of high quality, with significant prior equity sport. The portfolio is well diversified by property tape, geographic location, and by borrower. Overall, we continue to believe our problem investment exposure is manageable and we are pleased with the results in a challenging environment. With that as backdrop, I will now review our 2010 full year outlook. Our full year of 2010 earnings outlook has not changed from our previous expectations. For a full year 2010 we continue to expect consolidated adjusted income from operations of $1.05 billion to $1.15 billion. We also continue to expect full year EPS in a range of $3.75 to $4.15 per share. With respect to our VADBe book of business, we expect results to be breakeven in 2010 as we believe our reserves at year-end 2009 are appropriate. Our consolidated outlook also assumes no changes in the business model related to potential healthcare reforms. In addition, this earnings per share outlook does not include any potential impact from share repurchase. I will now discuss the component of our 2010 outlook starting with healthcare. We expect full year health earnings in the range of $720 million to $790 million, which is consistent with our previous outlook. We expect 2010 earnings group in healthcare to be driven primarily by lower operating expenses and higher specialty results, partially offset by lower year-over-year member month. We expect a quarterly earnings pattern similar to that which we experienced in 2009. Specifically, we expect earnings to ramp during the year due primarily to our Medicare part D business. Relative to our 2010 membership outflow, we continue to expect it to be stable, excluding the growth in our individual Private Fee-for-Service business. With that, I will comment on the net membership growth from our Medicare Private Fee-for-Service product. We now expect to grow the individual Private Fee-for-Service membership by approximately 80,000 to 90,000 lives for 2010, which is approximately 70 to 80 bases points higher than our year end 2009 total membership. While we planned for 2010 growth to better leverage the fixed costs required to support this business, the rate of birth in the first quarter was higher than we anticipated. As such, we closed enrollment to ensure that we deliver effective and consistent service level. Although the business was priced with an expected margin, we had assumed a break even result for this business in our 2010 outlook given the inherent volatility in this side of time. Lastly, we have reflected the capital requirement for this membership growth within our updated 2010 capital outlook, which is better than previously expected. I’ll provide you more insights into our overall capital position in a few moments. So in summary, we expect individual Private Fee-for-Service membership to add 70 to 80 basis points to our outlook as stable, resulting in an updated full year membership outlook of minus 1% to plus 2%. Now we turn to our healthcare outlook. Relative to our guarantee cost book of business, we continue to expect a full year MLR including voluntary, be in the range of 83.5% to 84.5%, which is comparable with the 2009 results. For our total book of business, we continue to expect full year medical cost trend in the 8% to 9% range. I would also remind you that we have, and will continue, to maintain our pricing in underwriting business plan across the product offerings. Now moving to our group visibility in life and international operations, we expect these businesses to contribute full year 2010 year earnings of $465 million to $495 million, which reflects solid earnings contributions. These two businesses consistently deliver competitively strong margins and we continue to see good demand for the products and services. I would also remind you that our 2010 earnings outlook for group insurance reflects an expectation that the favorable impact of approximately $15 million after tax from the 2009 life and accident reserve studies will not repeat in 2010. In addition, our 2010 outlook includes the impact of strategic investments to position our visibility business for further growth. Regarding the international business, our early indicators for 2010 reflects strong persistency and renewal rate execution result, as well as strong new sales growth. Additionally, we expect our foreign exchange position to improve over 2009, each of which is an important contributor to our 2010 earnings growth. In aggregate, the remaining operations other than healthcare are expected to generate earnings of approximately $330 million to $360 million for the full year of 2010. So all in, we continue to expect consolidated EPS to be in the range of $3.75 to $4.15 per share. Now I’d like to provide a brief update on our efforts regarding our operating expense. We remain committed to reducing our operating expense gap, and to making meaningful progress in closing our competitive gap. This is one of our top enterprise priorities and also a critical component of our business strategy. We made significant progress in 2009, reducing our healthcare operating expenses by approximately $100 million pre-tax, compared to our pro-forma 2008 expense bid. In addition, we recorded an after tax cost reduction charge of $30 million in the fourth quarter, which was primary related to our healthcare business. These actions reflect continued progress towards our targeted free-tax expenses savings of $55 million in 2010 and the additional $150 million to $200 million in expense savings over 2011 and 2012. We are committed to driving these reductions while continuing to maintain strong clinical and service delivery and prudently investing in technology into full of our business strategy. Now let’s turn to an update on our capital management position and outlook, including a summary of our subsidiary capital and out parent company liquidity. Overall, we continue to have a strong balance sheet and good financial flexibility. We achieved our 2009 capital management goals and ended 2009 in a better position than we previously expected. Specifically, we restored our subsidiary capital to the targeted surplus level. We contributed $410 million pre-tax to our pension plan in 2009. We estimate that our unfunded pension liability as of December 30th is now approximately $1.5 billion or $350 million lower than the year end 2008 balance, and $200 million better than what we projected in our investor day. This primarily reflects strong investment returns during the fourth quarter of 2009. We ended the year with cash and short-term investment as apparent of approximately $475 million. This includes outstanding commercial paper borrowing of $100 million. Our parent company cash position at year 2009 is approximately $125 million higher than our previous expectations. Approximately $25 million of this improvement is temporary and is expected to reverse in 2010, while the remaining $100 million is available as part of our normal capital deployment strategy. In addition, our debt to cap ratio continues to improve, and with 29.6% at year end 2009, which was within our target range of 25% to 30%. This is compared to a 33.7% at year end of 2008. Regarding our capital management outlook for 2010, our expectations for subsidiary dividends, the impact to pension plan funding and other net uses of cash are consistent with our previous outlook. Specifically, we expect full year dividends of $1 billion. We expect to retire our commercial paper balance of $100 million. We expect the full year net after tax impact of the pension plan funding be net use of $150 million and we expect full year other net uses of $275 million. Factoring in all these components, we now expect to end 2010 with parent company cash of approximately $950 million, which is $100 million higher than our view on investor day. Compared to our target of maintaining $300 million of cash at parent, this outlook implies that we would have approximately $650 million available for capital deployment in 2010. I would remind you that our capital deployment strategy has not changed. This strategy prioritizes the use of capital resources to first, provide capital necessary to support growth and maintain or improve the financial strength ratings of our subsidiary, then consider M&A activity, and finally, return capital to our investors through share repurchase. Overall, our capital outlook for 2010 remains quite positive. Regarding our 2010 membership outlook, I will now provide some leading indicator based on insights for the January 1 renewal cycle. My discussion of January membership will exclude the individual Private Fee-for-Service membership, which I commented on earlier. Based on results to-date, we expect net commercial membership growth for January 1 to be at the high end as I previously communicated, full year outlook is stable. That is plus or minus 1%. Our January 1 results are consistent with a focus of first, retaining, then, extending, and finally, growing our consumer relationship in targeted customer segments, and geographies. For the middle market, we expect January 1 growth in the mid single digit range. This reflects strong retention and new sales with very strong results in targeted markets. Our new sales include several large single pay customers that our competitors traditionally consider national accounts. These customers purchase ASO and specialty lines of business and will strengthen our local network. In the select segment, net membership growth for January 1 is in the low single digit range, which is higher than our previous expectation on a stable results, largely driven by stronger retention rate. We have seen success with the leaner benefit plans we rode out to the market last year and good sales in the 12 markets we have targeted for growth. For national accounts, membership for January 1 is expected to decline by mid single digits, which is consistent with our expectations. Our growth forward strategy in this segment is the focus on the value buyer. January 1 new sales are in line with our expectations and primarily consists of national accounts to close ratios in the range to 15,000 to 40,000 lives that are regionally concentrated, and buyers of ASO package with our specialty offering. Our visibility in international operations also had a strong January 1, with retention and new business results in line with our expectations. We are making notable traction on our cross-sell initiative, including extending our specialty penetration into healthcare customers with valued products such as disability. The life, accident, and health sales in targeted countries have been strong and persistency has improved, compared to 2009 in our international businesses. And for the expatriate business, our case retention is in line with expectations, and our pipeline and close ratios are up. Down to recap, our full year 2009 consolidated results reflect solid earnings from our ongoing businesses. We ended the year with a strong fourth quarter results, which positions us well for a jump off point into 2010. We also made significant progress in 2010 – in 2009 to reduce our healthcare operating expenses, and are on track to achieve meaningful expense reduction over the next three years. Our parent capital outlook is quite strong. And our investment portfolio is of high quality. And our problem loan exposure continues to be manageable. Our early insight into January 1 business is positive and the results are aligned with our growth strategy. And finally, we are confident in our ability to achieve our full year 2010 earnings outlook, which represents competitively attractive earnings for us. With that, I'll now turn it back to David.
David Cordani: Thanks, Annmarie. It's just (inaudible), our 2009 results reflect solid contributions from our ongoing businesses, with fourth quarter results positioning as well for 2010, our 2010 is aligned with our strategy and early indicators relative to execution are positive. And the 2010 capital outlook is strong. Now I'll briefly highlight some of the key actions and points of focus for we're driving to deliver these results and position CIGNA for 2011 and beyond. As a backdrop, let me remind you of our mission and destination. Our mission remains unchanged. We are focused on helping the people we serve, improve their health, well being, and sense of security. Every decision, product, and service supports this mission. Our destination over the next three to five years is to be a global health service company that wins based on knowledge of our customers and distribution partners, differentiated service and products, and distribution excellence. As we've discussed in length at our investor day in November, our growth strategy is to play to our strengths, deliver differentiated value for our customers, and as a result, attractive and comfortable growth. It's best described by, "Go deep, go global, and go individual." "Go deep" refers to our focus geographically on products and on certain segments. Our goal is to build a leading position in targeted geographies, products, and segments. There are four main areas of focus for us in the US, first is the middle market segment. This represents employers with 250 to 5,000 employees across large single-sized business. This is our largest market segment consisting of approximately 6 million individuals, and has been a consistent area of strength for us. We have achieved strong organic growth in this market segment for the past few years. And as Annmarie indicated, our early January enrollment data confirms that we're on path to achieve mid single digit growth for this segment in 2010. Sales in this segment are typically heavily penetrated with our broad spectrum of specialty products, which provides differentiated value for our customers and attractive margins for us. Second is the select segment, which represents companies with 51 to 249 employees. Here, our health advocacy capabilities, strong service model, and unique funding arrangements are delivered through a consultative sales approach. For this segment, we are leveraging our leaner benefit offerings and the unique capabilities we acquired through our Great-West acquisition. Third is our disability offering for national and middle market clients. We see attractive growth opportunities across the US, and similar to our healthcare portfolio, a great opportunity for further expansion to select-size employers. And the fourth area of focus is the national account employer. Here we retain a very sharp focus on employers who want engagement and incentive-based products and who value integration, and therefore, purchase of broad portfolio programs from one company. Today, our programs and consultative approach are playing well. Beyond the US, our strategy focus is on growing globally. "Go global" leverages our current international footprint, which is a competitive strength for CIGNA. The businesses we're concentrating on are health, life, and accident, particularly in Asia; expatriate benefits; and, private medical insurance in select countries. Our actions are focused in four areas. First, leveraging our product portfolio for our current distribution channels; second is expanding distribution channels for existing products, ;third is adding new products; and, fourth is targeted geographic expansion; all part of leveraging our global capabilities. Overall, the growth prospects for our international operations are very promising. Based on a recent market study of the top 30 countries outside the US, the total individual insurance market, which includes three product segments, supplemental health, PMI, and global expatriate, is estimated at about $112 billion, and growth in these market segments is estimated at 5% compounded annually through 2015, representing a large and very real long term growth opportunity for our business. The third part of our strategy is "Go individual". This is a philosophy that permeates through every part of our company. "Go individual" means that we understand that the individual is ultimately the consumer of our services, regardless of how that customer's acquired. Individuals across the globe are and will take on additional fiscal responsibility. Outside the US today, the individual is our focus, and we have over 5 million policies in force already. In the US, "Go individual" is an evolving part of our strategy that we have launched on a very targeted basis or directed to consumer segment. There is no question, regardless of what happens with US healthcare reform, there will be more individual accountability for health and healthcare. So "Go individual" is a fundamental philosophy as well as part of our growth strategy. As you all know, having a strategy is key to success. But a strategy is only valuable if it is executed. Our current drivers for winning will continue to be critical to execute our growth strategy in this challenging environment. We win in the marketplace first where our clients purchase based on value and not simply price. Second, by having a leading consultative approach, which means we listen to our customers, build strong relationships, and understand their needs. This translates into a win-win situation for us and our clients. Some proof points, as Annmarie indicated, for January 1st, we're seeing strong retention rates across all of our businesses, good progress on our cross-selling initiative, and new business sales are in line with our expectations in targeted geographies, which is consistent with our growth strategy. Lastly, we win by leveraging our differentiated service and clinical model. Some proof points here, our client satisfaction rates underscore this with over 90% favorable rating on our January service delivery. Additionally, our medical costs came in on track for 2009 and we have ongoing approval plans in place for targeted geographies for 2010. The result, winning, which is delivering differentiated value for our customers, which result in competitively superior growth rates, the outcome of which is superior shareholder returns for you. In closing, overall, our 2010 earnings guidance reflects competitively attractive earnings growth in a challenging economic environment driven by the strength of our diversified portfolio of businesses. And we are confident in our ability to achieve our full year 2010 earnings outlook, and remain committed to achieving our operational goals to the benefit of all of or stakeholders. We'll now turn it over to your questions.
Operator: Thank you, sir. (Operator Instructions) And we will first go to Matthew Borsch with Goldman Sachs.
Matthew Borsch – Goldman Sachs: Yes. Hi. Good morning. Could you just talk a little bit about your strategy with Private Fee-for-Service? And I guess the context that I'm thinking of is the products on set at the end of this year, at least in most geographies as I understand it. And yet, your guidance seems conservative with the breakeven expectation, so. I guess the question must be, what are you really achieving with this growth? And what do you intend to take it to next year?
David Cordani: Good morning, Matthew. It's David. Relative to Private Fee-for-Service, first off, for senior solutions more broadly, our strategy has been to ensure that we have the right portfolio of solutions for employer-sponsored customers. A part of that is employer-sponsored Private Fee-for-Service as well as our day – the broad wrap program, et cetera. As Annmarie referenced in her prepared remarks, we've leveraged that on a fixed cost infrastructure to have the employer solutions to grow on a targeted basis in specific geographies and some individual Private Fee-for-Service business. In addition, a part of or strategy is to make sure we have the right learnings and capabilities in the US around the individual market. A part of that obviously is seniors, a part of that is non-seniors individual. I think underlying your question is what's our strategy and what's our intent as we step into 2011 and beyond with this product. As you indicated, the marketplace is going to change with the regulations. And we're evaluating the alternatives of what we would do with the employer-sponsored lives versus the individual lives that are in the Private Fee-for-Service business. Lastly, the note around the conservatism, again, this was never intended to be a fundamental driver of our earnings growth stepping into 2010. As Annmarie referenced, both at (inaudible) day with a smaller book of business that we anticipated as well as today, we've continued to project it at a breakeven rate, although we've priced for margin in the product.
Matthew Borsch – Goldman Sachs: Okay, okay. As a follow-up, do you – are you potentially looking to migrate that enrollment to a network-based product in some geographies or across the board for 2011?
David Cordani: Matthew, again it's David. That is one of the options we're evaluating.
Matthew Borsch – Goldman Sachs: Okay. All right. Thank you.
Operator: Thank you, Mr. Borsch. We go next to John Rex with J.P. Morgan.
John Rex – J.P. Morgan: Thanks. So more on that, on the (inaudible) books, I guess a couple of things I was interested in. First, obviously the members game came in far ahead of what you've been expecting, so maybe double. And as you do the hindsight on that, what do you attribute that to? And particularly, as you compare the products that those members are coming from, what kind of alternatives do they have, so how your benefits stacked up in those regions where you were picking up the business? And then if you mapped in that membership, do you get – you have right now to where you have existing networks that you can transition into a network-based product in 2011, what would be the penetration rate you could – that you're getting out of that?
David Cordani: Good morning, John. I'll start, and I'll ask Annmarie to add in some of the color in terms of the migration, where the business has come from, what we know about it. Just a little bit of a backdrop here, first is it's quite early. You get the CMS polls in phases. We know we're – a good amount of the individual rights are, but there's a final poll that comes from that acquired data. Our strategy was to put price – well-priced products, lean products, in about 1,500 counties. Our enrollees came in, in about 600 of those counties. One thing's that's changed here, I think you're very well aware of, but it's important to call out, is that there were several companies that exited this space, which resulted in about 600,000 additional lives coming into the pool. So there's a lot more activity in the marketplace where individuals were, if you will, forced to make an additional decision because they're incumbent carrier was no longer a choice. And what we saw was there was an additional – about 600,000 lives that were brought to bear in the marketplace. My final point before I hand it over to Annmarie is our early look is within those 600 counties, we don't have any more than 4% of our enrollees in any individual county. If you look at the top 200 counties we're in, we have about 12% share. If you look at all the counties we're in, we have about 8% share. So from a concentration standpoint, our early look at the enrollment is that our concentration of membership is not there. It's actually quite diverse, and only a subset of the counties that we put our lean products in, did we (inaudible). I'll let Annmarie expand in terms of where the lives came from and some of the information we know about the risk profile.
Annmarie Hagan: Sure, David. Relative to where the lives came from, there're still some uncertainty as we're pulling in the information from CMS. And I do want to remind, it is early in the cycle and this inherently volatile in uncertain products. But where we see some of the lives coming from are from those competitors who had gone out of the market. And as David mentioned they are very geographically dispersed. When we look at what we’ve seen to date from a profiling perspective as it relates to the enrollees that we have priority on, there’s about 85% of the new enrollment, its coming from what we’ve previously Medicare advantaged products, so not previous Medicare coming from Medicare advantaged products. And that's a positive sign, a couple of things there. We have more information around the risk profiles as it relates to those enrollees who come from Medicare advantaged. And typically because they come from another Med-advantaged product, they have lower commissions. In addition, I would highlight a couple of other key factors about the population as we know it today. We have an average risk score on those products – on these enrollees today, John, that’s currently at about what I think 0.86%. I’m sure you know that anything under 1% would indicate that we have healthier individuals, anything over 1% would say that we have less healthy individuals. So 0.86% is in line with what we would have expected when we priced it and slightly better than we’ve had in the past. And also, these enrollees are in our leaner – the leanest benefit products that we offer. We have less low income people. We have less disabled individuals. And overall, the population that we’ve attracted this year appears to be on the younger side.
John Rex – J.P. Morgan: Okay. Have you done the retrospective – compare to what the other offerings were in that market and how your benefit design stacked up against some of their offerings?
David Cordani: John, we had and we continue to. A big part of our strategy, again, was to have, as Annmarie has referenced and I did, a leaner benefit offering. So the retrospective review, if you will, what we see and can confirm is that our pharmacy benefit on a couple of funds is leaner. And broadly speaking, some of the costs here on the core medical, if you will, the hospital benefit is also leaner. It correlates back to the risk score that Annmarie made reference to.
John Rex – J.P. Morgan: Okay. And this is one last, you said you did target a margin on this business even though you’re not assuming that in your guidance. We've heard you say you targeted something like a 5% pre-tax? 
Annmarie Hagan: John, it’s Annmarie. The target was in the 2% to 3% range for our margins. And as I’ve said, given the inherent volatility around these products, we thought it was appropriate to project it at about breakeven.
John Rex – J.P. Morgan: Again, Annmarie, that was 2% to 3% pre-tax, is that correct?
Annmarie Hagan: That’s correct.
John Rex – J.P. Morgan: Great. Thank you.
Operator: Thank you, Mr. Rex. We’ll go next to Christine Arnold with Cowen and Company.
Christine Arnold – Cowen and Company: Hi. Switching gears, what one of your competitors indicated that they were seeing a lot of pressure on in ASO fees, not a lot of take up of the specialty, the disease management, employee assistance, and potentially some pressure with trend guarantees. So could you talk about your outlook for 2010 for your ASO book in light of those issues and what portion of your ASO fees are subject to trend guarantee?
Annmarie Hagan: Hi, Christine. It’s Annmarie. First of all, you know we have historically offered performance guarantees to our ASO customers. Over time that changed from the traditional service guarantee to some accounts, management-type guarantees, clinical discounts, and trends. That’s the way the market has been evolving. Relative to our position exclusively on trend guarantees, we have ASO fees of about $2.7 billion and our trend guarantees would be roughly 1%. So we’ll do the math for you, approximately $25 million of ASO fees at risk relative to trend guarantees.
Christine Arnold – Cowen and Company: And then what about the up-tick on specialty and ASO fees being pressured year-over-year, can you speak to those issues?
David Cordani: Good morning, Christine. It’s David. Relative to specialty up-tick, we certainly have seen certain instances where clients decided to delay purchasing given the challenging economic environment they’re facing. I would say though net-net on an overall basis, we’re not seeing any material change in demand when we look at what the penetration rates we expected to have stepping into 2010 as part of our planning and what our early look at the penetration rates are. We’re seeing that net-net, it’s about where our expectations are. I would highlight, it puts a little bit more pressure on the consultative selling to make sure that you’re pinpointing the right programs for that employer and using account-based information to pinpoint the right maybe two or three disease management or chronic care management programs as opposed to a general approach. The net-net on an overall basis, we're not seeing a material change.
Christine Arnold – Cowen and Company: Okay. So no change versus expectations or not a change year-over-year in specialty earnings?
David Cordani:
 :
Annmarie Hagan: The only thing I wanted to add there, Christine, was that, as I’ve noted in my prepared remarks, we did see strong one-one particularly in the mid market with ASO penetrated with specialty. So we are continuing to see good demand for these products on a penetrative basis. And as you recall, at Investor Day, when we rolled forward our earnings from 2009 to 2010, one of the uplift is the continued strong contribution from our specialty businesses.
Christine Arnold – Cowen and Company: Okay. And on the SOP fees, are they down more in 2010 than they were in ’09?
Annmarie Hagan: No, we don’t expect that. Overall we expect the growth fees, yields, et cetera, to be on the positive side.
Christine Arnold – Cowen and Company: Great. Thank you.
Operator: Thank you, Ms. Arnold. We’ll go next to Carl McDonald with Oppenheimer.
Carl McDonald – Oppenheimer: Thanks. Can you give us breakdown of how you think risk ASO and experience rated enrollment will look for 2010?
Annmarie Hagan: Sure, Carl. It’s Annmarie. There has not been any significant change since those indications that we highlighted in Investor Day relative to our membership. So on the risk side ,we have low single digit growth. In the shared return side we have bit of an up-tick there growing probably from unstable to mid single digit growth. and on the ASO side, we have in a stable range.
Carl McDonald – Oppenheimer: Okay. And on the risk enrollment growth, how do you feel about the fact that you’re expecting some growth in the risk product relative to most of the competitors that are polling for some still fairly significant declines?
Annmarie Hagan: Carl, it’s Annmarie. I feel good about the risk growth as we’ve indicated in some of our prepared remarks where we’re seeing some of the growth is in our select segment, which is one of our targeted segments, part of our strategy. And last year, we did rollout our leaner benefit designs. So we are seeing good traction with leaner benefit design. Also in the – with membership, you’ll have some of the growth related to our strategy around individual. So relative to the individual and some of the targeted markets where David mentioned, we were using to learn into – drive the strategy as we go individual, we’ve seen some good growth there as well. So I feel good about the risk profile there, and should our pricing posture on the renewal and new business continue to be the price set about trends. David, did you want to add something?
David Cordani: Hey, Carl. Good morning. It’s David. I would just reinforce one point, which is within the risk part of business. Our retention rates are strong. So when you go back to retention rates, you have strong service delivery. And an important comment today we made in a prepared remarks is of the consistency around the pricing and underwriting result from a little bit last we saw ph and the market are playing in. So we’re very pleased to see that retention rate move up coupled with the sales moving up in the targeted geographies.
Carl McDonald – Oppenheimer: And regarding the comments you made on the capital, with no change to the expected dividends given all the medical growth that you’re seeing, does that mean you’re willing to let the risk-based capital ratios come down a little bit in subs?
Annmarie Hagan: Carl, no. That’s not what we’re implying there. In fact, the year ended with a stronger result in our capital position in our subsidiaries. We did come in with earnings, quite with ph better than our expectations. The fourth quarter S&P was stronger than we had expected when we talked to the group the other ph day. And as a matter of fact, that strength in our operating subsidiary capacity allowed us to cover the capital required for privacy for service business, and still allow us to end with the result in the parent company that were stronger than we have thought before as well.
Operator: Thank you, Mr. McDonald. As a reminder to our participants, please limit yourself to one question and one follow-up question. We go next to Ana Gupte with Sanford Bernstein.
Ana Gupte – Sanford Bernstein: Thanks. Good morning. About your commercial full range above (inaudible), you said that you’re pricing above trends and growing in individual and possibly involuntary where the loss ratio should help you make suggest that fully insured the MLRs. So what is your guidance right now on the outlook for the all-in commercial fully insured loss ratio to guarantee cost with the voluntary and everything fixed in there?
Annmarie Hagan: Hi Ana, just to correct the record there, I indicated that we were pricing at trends, not above. So I indicated that we were pricing at trends, which was consistent with their pricing posture and our expectations. Relative to the all-in voluntary individual set our guaranteed cost MLR that was projected to be 83.5% to 84.5%, which is consistent with the 83.9% that we reported through to 2009.
Ana Gupte – Sanford Bernstein: And what are the trend assumptions you’re making on that MLR with regard to the flu season COBRA, and then any network contracting that you’ve seen completed January of this year?
Annmarie Hagan: Sure Ana. Our overall book of business trend is – continues to be in 89% range, and relative to the flu, we had talked earlier about the fact that in the guarantee cost area particularly, you’d expected about 60 basis points of flu in 2009, actually seem as but we’re better than that. Having said that, we maintain that 60 basis point assumption relative to flu in the 83.5% to 84.5%. And to remind you that COBRA for us was very insignificant. Any COBRA that we typically had has been on the ASO account where there’s very little exposure unless that it hits the stop loss , which I think we talked previously. That for the full year of 2010, I’m sorry, it’s 2009, we had about $2 million relative to COBRA. So no explicit assumption as we move forward into 2010 on that.
Ana Gupte – Sanford Bernstein: And then finally, the 8 9% you’re pricing in line with the 89% on a buy down in mixed adjusted basis, do you see that trending somewhat close to that or will there be pressure downward on the top line year-over-year growth?
Annmarie Hagan: Yes. I’d see it in line with trend. The only thing I would add there is that as we write more leaner benefits, hence more individual business, the overall revenue yield and the related trends will actually start to decrease. But we don't expect there to be a significant difference between the two. But overall those numbers, as we drive more into that select segment with leaner benefits in individual, that overall yield and trends should decrease a little bit.
Ana Gupte – Sanford Bernstein: Okay. Thank you.
Operator: Thank you, Ms. Gupta. We will go next to Josh Raskin with Barclays Capital.
Josh Raskin – Barclays Capital: All right. Thanks. Good morning. Just a couple of questions quickly on the pension I guess, it sounded like you made $410 million of contributions net of tax into the pension of the past year. And yet your under-funded status is only down by $350 million. So I’m just curious, was it that your planned asset growth didn't keep up with your project benefit obligation growth or was there a change in the returns, a change in the discount rate? And then, how shall we think about the actual pension expense in 2010 versus 2009?
Annmarie Hagan: Josh, its Annmarie. Actually, our assets performed much stronger than our underlying assumption. The issue we’re dealing with in the roll forward of the pension liability was the change in discount rate. So order of magnitude, that cost us about $225 million given the discount – the interest rate environment, so assets performing better than expected. And as a matter of fact, I noted in my prepared remarks we expected the unfunded liability to be a little worse. We came in better than we’ve expected for year-end. And then as you think about the expense for 2010, I’d remind you that we froze our pension plan effective July 1st and the expense for 2009 relative to the amortization of the actuarial losses, so service costs this way, you just have that would be probably around half of what we experienced in 2009.
Josh Raskin – Barclays Capital: And looking at the dollars, what would have happened?
Annmarie Hagan: I’m going to ask Ted to get back to you on that, Josh.
Josh Raskin – Barclays Capital: Okay. I can grab it from the last queue. And then also, just I understand the discount rate you’re saying, that was changed for 2009 and that was spread related I think?
Annmarie Hagan: Yes. That would change. We do our complete valuation of the pension plan at 12/31/09, and we update all of our assumptions, our growth rate, our discount rate, et cetera. And that would change the events – the interest rate environment.
Josh Raskin – Barclays Capital: But no change in the asset return rate?
Annmarie Hagan: Yes. We continue to maintain the asset return assumption around 8% consistent with what you would have read in the 10-K previously.
Josh Raskin – Barclays Capital: Thank you.
Operator: Thank you, Mr. Raskin. We will go next to Charles Boorady with Citi.
Charles Boorady – Citi: Thanks, good morning. These two questions, one on M&A priorities, and if we would be consistent with your desire to grow faster internationally or you think M&A would be more domestically based? And then secondly, my question will be of a big picture one. In light of the economy around affordability, you talked about more leaner benefits, which we’ve seen a trend to over the last almost decade. But once you get to a point where that can no longer effect the cost there, what are some other things you’re doing to addresses the affordability and, are we seeing a return to more networks or each move these products for prior authorization or gate keeping, and any examples you can give us about the effect that it’s having on cost trend?
David Cordani: Charles, good morning. It’s David. First one, as to the M&A question. Annmarie went through the sources in use of the capital. And M&A is currently our second priority once we take care of the appropriate needed capital for the ongoing operations. We continue to expect actually that our industry will consolidate over time. Although, the view, at least in the US is that the administration views that the maintenance is a twist in the industry is rather important. Specific to your question, we would look at them in two ways. One is capability based, second is skill based. And as to whether or not we have a biased word, non-US or US asset, I would say, we’re open to either as we look at it. So we will evaluate capabilities to further enhance, be they help advocacy, engagements, information of care delivery support, or produce capabilities. Secondary to that, we look at targeted scale opportunities that make sense both strategically and financially to us. As relates to your second question, I think your point is quite important in terms of it's the pattern of benefit buy downs, if you will, or ultimately miss a product gets to a tipping point, what’s next? I would say about to – from the prepared remarks we had relative to a choice fund fourth-year study, what we feel in the marketplace is now an increasing pattern of demand and interest in what we recall engagement and incentive-based program. So how do you incent individuals to become a bit more active in terms of the management of that both health risk as well as healthcare consumptions, in terms of the services that they utilize, pursuit of more value-based or higher-performing outcomes. Pursuit of more generic outcomes et cetera. And finally we give you a little bit of tip of the iceberg. We have some employers out there now that are – that we’re working with around the value-based benefit alternatives, outside the pharmacy. And that might mean as pegging a benefit design to wherever the clinical asset could see threshold exist, providing information back to their employees and customers and having the individual take more physical responsibility beyond that. So back to recap, if the use of information, the use of incentives and supporting people to both lower the health risks, and then consume the healthcare services where the highest quality and therefore, best value unfolds, that’s where we see the most activity right now, national middle and emerging in the select segment as well.
Charles Boorady – Citi: Dave, does that include, the potentially excluding facilities from networks more aggressively than you have recently or excluding other providers to the networks?
David Cordani: Yes. I would say, last so in the traditional way that you referenced from 10 years ago, or 15 years ago, so the network within a network or the sub-so-last network. Last of that, and more actually going the opposite direction in providing choice and information to the individuals, so a more important customers wanting to have the same breath of network, or potentially differentiating the coverage and providing more information in terms of the overall quality or the centers of excellence within the program. We do have examples where kind of outliers will more indeed be called, and employers are more interested in that. But often the use of information as opposed to just looking at a cost indicator that use of information for the total episodic care. So the headline there is still maintaining choice, using information, providing incentives for individuals to pursue the right service at the right venue at the right time, but last of the 15-year goal model were just laughing a third of a network off and constricting access.
Charles Boorady – Citi: And the prior also, David? Or are gate keeping coming back or not?
David Cordani: Sure. So keep it as a fact. You sense of less than 1% of services that are going through if you’ll gate it or prior off , and that’s back to the use of information? So I would say no, not in the historical sense, but on a very targeted basis, yes. So it’s sorting the force for the trees and identify the finite services where there are high variabilities in clinical quality delivery. Therefore, high variability in cost, and that’s where the activity is. And you’re dealing with small number of services that have high variability. And that’s we are dealing with single digit percentages there.
Operator: Thank you, Mr. Boorady. We go next to Justin Lake with UBS.
Justin Lake – UBS: Thanks. My first question is just around 2011 and 2012. You've done a great job of detailing the SG&A savings opportunity over the next several years. And I'll just be curious to hear you talk on how much of that you would expect to reinvest in the business to fund future growth initiatives, and maybe what areas of the business you want to invest in.
David Cordani: Good morning, Justin. It's David. I appreciate your comment. Specific to your comment, as you recall for 2010 and just using that as a transitional comment, you find that I and Annmarie made reference to the gross savings and then some of the targeted reinvests we will make. Our expectation is that we will continue to reinvest back in the business. The savings rate that Annmarie made reference to for '11 and '12, as we can best estimate right now, represent essentially a net number as opposed to a gross number because we are actually investing in our business today. Annmarie made reference to target investments within the group insurance operations. We have a rather robust level of investments within our healthcare business. And we're investing in the international business. And that's all quantified within our current guidance. So outside of large step function M&A capital deployment, we would intend to maintain our current investment level and see those expenses as being an additive step function of reduction beyond that.
Justin Lake – UBS: Great. That's helpful. And just a quick follow-up in regards to the cash flow, what is the expected of dividends to the parent year? And when would you expect to begin being able to deploy some of that free cash in 2010?
Annmarie Hagan: Yes. It's Annmarie. The timing of dividends are a little bit more backend loaded than front end loaded. So I think, consistently, we said that given our capital position, any normal capital deployment – and I'll remind you of the priority. First, make sure our businesses are well capitalized and we're funding growth; second, M&A; and then, finally, repo of shares. So if any types of capital deployment would be more towards the latter part of 2010.
Justin Lake – UBS: Great. Thank you.
Operator: Thank you, Mr. Lake. We will go next to Scott Fidel with Deutsche Bank.
Scott Fidel – Deutsche Bank: Thanks. First question, just if you can provide us with an update on the experience rate of business just in terms of the percentage of accounts that ended the year in deficit. And also, are you seeing any change just in the pace of deficit recoveries over the course of the last year? I know at the end of last year, there were some economically related dynamics there, just an update on that.
Annmarie Hagan: Hi. It's Annmarie. Relative to the experience rate and deficit, Scott, it's pretty much consistent. We have about 54% surplus and 36% in deficit. We continue to have strong rate executions on our accounts in deficit, and actually, good results during 2009 relative to our margins, flat to slightly better in 2009 and expected in '10, which inherently implies we are making good progress on the deficit side to half.
Scott Fidel – Deutsche Bank: Okay. And I just – I have a follow-up, just if you could provide enough data on the stop loss book in the fourth quarter and if you saw any improvement or deterioration, and just some of the emerging costs – pressures that you have tied to the third quarter.
Annmarie Hagan: Sure, Scott. The stop loss book came in about as we expected. There was not any indication that what happened in the third quarter was redone in a new jump off plate. So we had as expected stop loss results. And as I noted in my prepared remarks, as we jump into 2010, stop loss continues to be a very important contributor to our earnings trajectory. And the only other thing I'll note is that we continue to feel the good leverage from the re-contracting effort relative to our Great-West book of business.
Scott Fidel – Deutsche Bank: If I could just sneak one quick one, and just on part D, just an update on your enrollment and margin expectations for 2010.
Annmarie Hagan: I don't have the exact numbers on enrollment at my fingertips, Scott, but it's up. So we have gross in part D, and the earnings is expected to be up as well. Just like I noted earlier, when you think about the progression of our earnings in 2010, given the way part D comes through with losses in the first quarter and improving as we go along, that might be a little bit different because we have expectation for modestly higher earnings from part D.
Scott Fidel – Deutsche Bank: Thanks.
Operator: Thank you, Mr. Fidel. We go next to Kevin Fischbeck with Bank of America/Merrill Lynch.
Kevin Fischbeck – Bank of America/Merrill Lynch: Okay. Great. Thanks. Just in the quarter versus your guidance, it seems like the other operations runoff was better than expected for the year – for the quarter. But now you're looking for it to go back to that 135-type run rate the next year. Can you talk about what happened this year and what's going to happen next year?
Annmarie Hagan: Sure. It's Annmarie. Relative to the runoff reinsurance operations on an annual basis, we evaluate our different reserve positions. Remember, we stopped writing this business in 2000. So this continues to runoff in the reserve positions there, continues to get smaller. As we evaluate that, there is some opportunity for reserve favorability. So as we do the reserve reviews and execute very strongly on the claims education, et cetera, we typically would see, all things going well, some upside at the end of the year. In addition, we continue to focus on resolving reinsurance recoverables. Remember, this is – this business has a risk associated with that collection of reinsurance from third parties. We've done a very good job at actually resolving those in a positive way, which also results in earnings for us. And I would say as we move ahead, as this book continues to decline in runoff, you could have a quarterly good news, but would not expect the level of the fourth quarter good news to be run ratable.
Kevin Fischbeck – Bank of America/Merrill Lynch: Okay. And then, you mentioned that the international business had a $4 million impact for the tax rate in South Korea. Was that a one-time issue or is that going to be an ongoing $4 million drag to that business?
Annmarie Hagan: Relative to the fourth quarter, we did have a $4 million – that was a full year true up of the effective tax rate. So having said that, it is a higher effective tax rate as we move forward into 2010. All things being equal though, you might recall back in the second quarter, we talked about the fact that we employed a capital management strategy, which allowed us to effectively reduce the overall tax rate for Korea and expect that for some other countries as we jump in 2010. So as we jump off into 2010, actually, the full year impact of having an overall lower effective tax rate will be an upside for us in international.
Kevin Fischbeck – Bank of America/Merrill Lynch: Okay. So that's upside versus what was reported in 2009 or upside (inaudible) extra $4 million.
Annmarie Hagan: It's upside related to 2009 all in.
Kevin Fischbeck – Bank of America/Merrill Lynch: All in, okay. Great. Thanks.
Operator: Thank you, Mr. Fischbeck. We will go next to our final question from Doug Simpson with Morgan Stanley.
Doug Simpson – Morgan Stanley: Thanks. Can you just remind us in the real estate business, I think at the end of last year, you had something like $470 million of future purchase obligations? Do we need the fact to send the sources and (inaudible)? Can you just give us a sense for the timing and if there's an updated number there?
Annmarie Hagan: It's Annmarie. I don't have that number, to be honest with you. But I think it's probably around the same amount. That'll be in our 10-K as we file that at the end of the month. And that does not close repair in company cash of that actual purchase of any of our investors are funding at a – are funded at our operating subsidiary level. So whether it be signatory, be a real estate commitment, whatever turn we have on our investment portfolio is imbedded in our operating subsidiaries and does not impact parent cash.
Doug Simpson – Morgan Stanley: Okay. And then, the recoverables dipped down about $90 million in the quarter. As we're looking at year or two, how should we be thinking about that in the model? Does that just continue to chip away at that clip or maybe if you could just remind us the triggers there?
Annmarie Hagan: Yes. The warranted components of the reinsurance recoverables continue to be some of the divestitures we've had in the past relative to the individual business, the retirement business, and then the runoff reinsurance that I talked to you about. So it does continue to clip down over time. There's not any major acceleration, if anything at all, probably decline more slowly.
Doug Simpson – Morgan Stanley: Okay. Thanks.
Operator: Thank you, Mr. Simpson. At this time, I'd like to turn the call back to Mr. David Cordani for any additional or closing comments.
David Cordani: Thank you. In closing, I just want to emphasize five key points to quickly wrap up. First, 2009 results represented a good outcome, both in absolute terms as well as from a competitive perspective. Second, our capital position and balance sheet are strong, and our investment portfolio continues to produce good results. Third, we believe our capabilities and our focused growth strategy match up very well with the current market needs regardless of the outcome of healthcare reform. Fourth, our 2010 earnings outlook reflects competitively attractive earnings growth in a tough economic environment, which is driven by the strength of our diversified portfolio of businesses. And finally, emerging indicators for January 1st validate early progress that we are making with our growth strategy. We want to thank you for joining today's call and have a great day.